Operator: Ladies and gentlemen, thank you for standing by and welcome to the Fourth Quarter 2020 Sonoco Earnings Conference Call. At this time, all participants' lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today's, Rodger Schrum, Vice President, Investor Relations. Please go ahead.
Rodger Schrum: Thank you, Sara. And good morning and welcome to our fourth quarter and full year investor conference call. Joining me today are Howard Coker, President and Chief Executive Officer; Rodger Fuller, Executive Vice President; and Julie Albrecht, Vice President and Chief Financial Officer.  A news release reporting our financial results was issued before the market opened today and is available on the Investor Relations website at sonoco.com. In addition, we will reference a presentation on our 2020 financial results and our 2021 outlook, which also was posted on our website this morning. Before we go further, let me remind you that today's call and presentation contains a number of forward-looking statements based on current expectations, estimates and projections. These statements are not guarantees of future performance and are subject to certain risks and uncertainties. Therefore, actual results may differ materially. Furthermore, today's presentation includes the use of non-GAAP financial measures, which management believes provides useful information to investors about the Company's financial condition and results of operations. Further information about the Company's use of non-GAAP financial measures, including definitions as well as reconciliations of those measures to the most closely related GAAP measure, is also available on the Investor Relations section of our website. Now, with that introduction, I will turn it over to Julie.
Julie Albrecht: Thanks Rodger. I will begin on Slide 3, where you see that earlier this morning, we reported a fourth quarter loss on a GAAP basis of $0.12 per share, and base earnings of $0.82 per share, which was above the top end of our guidance range of $0.70 to $0.80 per share. This quarter base EPS results were also $0.07 stronger than the $0.75 we delivered in the fourth quarter of last year.  Our fourth quarter results were above our expectations primarily due to better operating performance across all four segments. The businesses that improved most notably compared to our expectations were flexible, global rigid paper containers, integrated industrial North America and Thermosafe.  In terms of $0.94 cent difference between base and GAAP EPS $0.56 related to asset impairment charges, most of which related to our perimeter of store thermoforming operations, $0.17 was driven by our display and packaging Europe divestiture, $0.11 was due to restructuring activities, $0.05 was from non-operating pension costs and $0.05 was primarily from M&A and other expenses.  Now moving to our base income statement on Slide 4, and starting with the top line, you see that sales were $1.376 billion up 67 million from the prior year period. I'll review more detail about our key sales drivers on the sales bridge in just a moment.  Gross profit was $275 million, 28 million above the prior year. This solid performance lifted our gross profit as a percent of sales to 20%, a 110 basis point improvement versus last fourth quarter. SG&A expenses of $149 million increased by 16 million year-over-year, mostly driven by the timing of compensation expense increases.  I'll also highlight that we did have lower expenses type COVID-19 such as travel, but they were offset by the addition of expenses from our acquired businesses, all this resulting in operating profit of $126 million, which is 12 million above last year. I'll discuss the key drivers on the operating profit bridge in a few minutes.  Net interest expense of $19 million was 3 million higher than last year due to the actions we took in 2012 to strengthen our liquidity position. Income tax expense of $25 million was slightly above last year due to our higher pretax profit. Our fourth quarter 2020 effective tax rate of 23.5% was mostly unchanged from the prior year quarter.  Moving down to net income, our fourth quarter 2020 base earnings were $83 million a 9% increase over last year. And for your information, we've included a full year base income statement in the appendix as well as full year bridges for both sales and operating profits.  And looking at the sales bridge on Slide 5, you see volume mix was higher by $52 million or 4% for the company as a whole. This increase was roughly split between stronger demand, as well as two additional days in the quarter versus last year.  Consumer packaging volume was up $33 million, or about 6%. We had continued nice growth in global rigid paper containers which saw volumes increase by a robust 9.5%. Our flexible business demand grew by a solid 3% due to continued COVID eat at-home patterns, most pronounced in our cookies and crackers end use market.  Finally, global plastics volume was flat driven by prepared and specialty foods demand growth at almost 12%. But this was offset by continued weakness in the industrial end use market, as well as lower volumes in perimeter of store. Display and packaging volume was down $8 million or 5.5% driven primarily by lower demand specifically driven by the pandemic. Moving to paper and industrial converted products, volume was up $7 million or 1.5%, as volumes recovered in our global paper mill network, as well as across our tubes, cores and cone operations. And finally, sales volume in protective solutions was up $19 million, or about 16% driven by strong demand in each business unit within this segment.  So moving across the bridge to price, you see the selling prices were higher year-over-year by $6 million. This was driven by price increases in the industrial segment partially offset by decreases in the consumer segment, each primarily driven by raw material costs. Additionally, we do continue to see benefits from the recognition of the value of our products and services provided to our customers.  Moving to acquisitions and divestitures, you see a top line impact of $11 million from the addition of TEQ and Can Packaging in our consumer segments, with a partial offset from the sale of displays and packaging Europe at the end of November. And finally, the sales and tax of foreign exchange and other items was negative by $2 million and includes no unusual activity.  So moving to the operating profit bridge, and starting with volume mix, our higher sales volume of $52 million, combined with the impact of mix had a positive impact on operating profit of $22 million. Moving to price cost, I'll remind you that this category includes the earnings benefits from higher selling prices, as well as the impact of total inflation.  In the fourth quarter, we had $36 million of unfavorable price cost, which was roughly split between the impact of non-material inflation and negative price cost dynamics within our industrial segment, all of which was in line with our expectations.  As usual, there's a slide in the appendix that shows recent OCC trends and you'll see that in the fourth quarter of 2020 southeast OCC official board market pricing was stable at $70 per ton, until market pressures caused an increase to $80 in December, all resulting in an average of $73 per ton in the fourth quarter. This was more than double $35 per ton average in the fourth quarter of last year.  Next you see the impact of productivity, and see that our total productivity in the fourth quarter was a very strong $42 million year-over-year. We have solid execution across our productivity levers in shop floor execution, procurement, as well as fixed cost due to a combination of deliberate cost controls and restructuring benefits. And finally, the change in other was unfavorable by $16 million with various moving pieces, but primarily related to the timing and amounts of compensation expense.  So moving to Slide 7, you'll find our segment analysis where you see that consumer packaging sales were up 10% driven by the addition of TEQ and Can Packaging, as well as higher volumes driven by COVID eat at-home behaviors. Consumers segment operating profits increased by 47% driven by strong volume mix and excellent productivity results. Our consumer segment margin jumped by 280 basis points to 11.1% versus the fourth quarter of last year when the margin was 8.3%.  Display and packaging sales were down by 20%, mostly due to the divestiture of D&P Europe, as well as lower demand due to COVID-19. Operating profit was down 11% and margins did improve by 50 basis points to 5.3% due to productivity actions and divesting the lower margin European business. Paper and industrial converted product sales grew by 3.6% due to year-over-year price increases as well as the recovering demand. Operating profit declined by 28% due to much weaker price cost dynamics compared to the prior year. These headwinds were somewhat offset by solid improvements in productivity. The industrial segments operating profit was 7.1% of sales down by 310 basis points when compared to the fourth quarter of last year.  And finally, protective solutions sales grew by 17%. Operating profit increased by very strong 42.5% due to the stronger volume, as well as better cost efficiencies. This segment's margins improved to 11%, a solid 200 basis point improvement over the prior year's 9%. So for the total company sales were up just over 5% and operating profit increased by 10.5%, resulting in companywide operating margin of 9.2% of sales.  Shifting to cash flow, in the middle of this slide, you see that our full year operating cash flow was $706 million, compared with $426 million in 2019, an increase of 280 million. The largest single driver to this increase was the $165 million of after tax voluntary pension contributions that reduced last year's operating cash flow.  Midway down the slide you see that our working capital balances decreased in 2020 by $51 million, which was a $15 million higher source of cash compared to last year. This was a result of significant improvements in all aspects of our working capital management, despite the very challenging business environment.  Moving down to other operating activity, the $75 million cash generation from this category includes an approximately $30 million benefit from COVID related FICA deferral as well as an approximately $35 million cash tax benefit from our planned pension termination contribution in 2021.  Now moving on to free cash flow, our net CapEx spending was $184 million, a slight increase of 2 million compared to last year. And our dividends paid in 2020 were $173 million compared to 170 million in the prior year. And finally, our free cash flow for the full year 2020 was $349 million, an increase of 275 million over last year and virtually all of the improved cash flow was driven by the higher operating profit or operating cash flow that I just reviewed.  On Slide 9, you see that our balance sheet and our liquidity position remain extremely strong. Our year end 2020 consolidated cash balance of $565 million increased by 420 million during the year. This increase reflects the proceeds from the divestiture of display and packaging Europe and our very strong cash flow generation somewhat reduced by the acquisition of Can Packaging in the third quarter.  Our consolidated debt totaled $1.7 billion at the end of 2020, an increase of only $19 million from the prior year end, following our $442 million repayment of short-term debt during the fourth quarter. And finally, you'll see at the bottom of the slide that our net debt to total capital decreased from 45.8% at the end of 2019 to 37% at the end of 2020.  So with that, I will hand it over to Howard,
Howard Coker : Thanks Julie and good morning everyone. Let me provide some brief commentary regarding our full year performance and then talk about our strategic direction in 2021, before I turn it back to Julie to provide you details regarding our guidance. 2020 was both a test of our results of the company and a testament of the strength of our people. On a personal note, I cannot thank enough our 20,000 associates around the world for all they have done and continue to do to meet the critical needs of our customers during this pandemic and for supporting me in my first year in this role.  Despite COVID our team quickly refocused operations by accelerating production of food packaging to meet consumers growing demand by making adjustments in our industrial and related businesses such as protective packaging and response to demand swings. We develop vitally needed temperature assured packaging to begin shipping life saving vaccines and therapeutic drugs to combat the spread of the virus. And we further improve our portfolio by acquiring can packaging, the European designer and manufacturer of sustainable paper packaging and related equipment while divesting our lower margin European contract packaging.  As seen on the full year segment review on Page 10, we have a strong year of consumer packaging with organic sales of up 2% and operating profits reaching a record up 27% from last year. Rigid paper containers had a strong year with volume mix up more than 4%. Flexible also had one of its best years although volume was mixed with gains in food packaging, offset by declines in confectionery sales. Prepared and especially plastic trays had an exceptional year with organic sales up double digits, but that was offset by volume declines in our economic, sensitive industrial plastics business. Display and packaging segment sales declined due to slowing retail activity during this pandemic. However, the team managed the business very well and operating profits increased by 10%.  The pandemic also had a significant impact on our global paper industrial segment last year, with operating profits declining nearly 30% due to a 4% decline in volume mix and a negative price cost relationship driven by rising OCC prices. As we mentioned previously, industrial volumes declined significantly in the second quarter of the year, but recovered through the rest of the year and continued to improve as we enter this year. Finally, our protective solutions segment strong second half of 2020, which drove 3% improvement in operating profits.  Now let me switch gears and talk about our strategic focus as we enter 2021. As I shared with you last year this time, we will continue to drive a sense of urgency throughout our company to move more quickly to address longer term issues and support opportunities that can lead to long-term performance improvements. A key part of our strategy is to invest in ourselves to drive both growth and margin improvement in businesses we know and know well. A prime example of this strategy is our $114 million investment in Project Horizon, which will convert our Hartville Corrugated Medium Machine to produce uncoated recycled paper board.  When completed by the second quarter of 2022, this project will drive approximately $30 million in annualized cost savings. In addition to Project Horizon, we have developed a strong pipeline of high return internal opportunities, the ability to accelerate growth or enhance productivity. We expect to spend approximately $85 million on Project Horizon in 2021. So let me give you a quick update on our progress. There are four aspects to the project starting with modernizing our facility to better transport, handle and store recovered paper. We're well into the demolition and expect this phase of the project to be completed by July.  Next is a construction of a new stock prep system, which will feed our 180,000 ton per year new URB machine as well as other settlement machines on campus. The new pumping system will allow us to use more mixed paper thus lowering cost and construction there begins on March 1 and should be completed by September. We'll think once this activity with the building of a new finished goods warehouse to modernize the finishing and storage areas of campus. This new complex should be completed a mid October. Finally, the conversion of the machine should be completed in March of 2022. We will be producing medium through the end of this year, about three months longer than we previously planned.  Before I turn the call back to Julie, I want to mention that we will change our reporting structure in 2021 to better reflect how we are managing our businesses going forward. There's a picture to illustrate this new simplified structure on Page 11 of our presentation. This change will leave us with two reporting segments consumer and industrial paper packaging. Our remaining businesses represent in all other group. The protective solutions and display and packaging segments will be eliminating and their businesses moved into this new structure.  Changes to the consumer packaging segment will include moving our TEQ healthcare packaging and industrial plastics business to all other. Industrial paper packaging will be relatively unchanged except that our fiber protective packaging unit will be added from the former protective solutions segment. All other will include our health care and protective packaging businesses including tech Sunoco Thermosafe, consumer and automotive molded foam as well as alloyed retail security packaging and the US display and packaging business units.  So Julie with that, why don't you talk about our financial guidance for 2021?
Julie Albrecht : Absolutely, thanks Howard. So on Slide 14, you see our key assumptions for our 2021 guidance. As a starting point, our outlook was developed using regional macroeconomic recovery assumptions related to COVID with recovery generally occurring around midyear 2021. After factoring this overall level of economic activity in with what we're hearing from our customers about our served markets, along with activity in our sales funnel, we're targeting to drive a 2% increase in volume for the company as a whole. And I will provide more information about volume outlooks by segments in a few minutes.  The impact from the recent divestiture of display and packaging Europe and the acquisition of Can Packaging are reflected for a full year in 2021 as these deals closed in the second half of last year. In terms of selling prices and related costs that are tied to market indices. The outlook for old corrugated containers or OCC is to average $90 per ton, while the 2020 average was $71 per time.  In addition, our outlook assumes that resin prices will increase approximately 10% over last year. Inflation is a challenge as we start this year. So our outlook includes significant inflation headwinds in areas including freight and insurance. Our interest expense is projected to be lower by $12 million in 2021 primarily due to our expected repayments and refinancing of debt that is maturing this year. In terms of taxes, we've estimated our 2021 effective tax rate to be 25.4% which is flat to 2020.  So on the next slide you see our 2021 outlook sales bridge. First, again, for the company as a whole, we expect 2% volume improvement to drive an increase in sales by $105 million. I'll now provide some color around our volume expectations for each segment using our new segment structure that Howard has described.  For 2021, our consumer segment volume is projected to be relatively flat to 2020 as global rigid paper containers retract by around 2.5% after the very strong 2020 benefit from COVID eat at-home patterns. Conversely, our flexible business forecast growth of around 3.5% and global plastics expects to be flat with growth of around 7% in prepared and specialty foods on new business opportunities. But this is mostly offset by lower demand in perimeter of store. We expect our industrial segment volume to increase by about 3.5% year-over-year. Global tube, core and cone volumes rebound by about 7% while global paper is expected to recover with gross growth of approximately 2.5%. And in all other, we're projecting a 4.5% increase in volumes driven by high single digit growth in Thermosafe, TEQ and retail security partially offset with lower growth rates in other parts of this business grouping.  So moving across the sales bridge, you see a positive impact of prices of $115 million year-over-year. Our industrial segments makes up about two thirds of this increase. Overall these price increases are driven by contracts, pricing resets tied to market indices, as well as the continued focus on our commercial excellence activities.  Next, you see acquisitions and divestitures, which mostly reflects the impact from the divestiture of display and packaging Europe, which is slightly offset by the addition of Can Packaging. And finally, the sales impact for foreign exchange and other is $17 million, primarily due to foreign exchange translation, assuming a weaker dollar in 2021. So in total, you see that our 2021 projected sales are $5.2 billion.  So now moving to the base EPS bridge and starting with our 2020 base EPS of $3.41 per share. I'll first point out that we expect the net impact of the acquisitions and divestitures made in 2020, to reduce earnings by $0.14, primarily due to the divestiture of display and packaging Europe. So now that we've removed our acquisitions and divestitures from our 2020 actual results, we can focus on how the operational drivers to our earnings compare on a year-over-year basis.  The 2% overall volume growth that I described earlier, with mix considered is expected to add $0.23 to base earnings. Next, we project to have a positive impact of $0.40 per share from total productivity, which is split between procurement and manufacturing gains. You can see a positive impact of $0.12, mostly from lower interest expense, and improved foreign exchange translation.  Moving to price cost inclusive of material, energy and freight cost changes, we're expected to have a net negative price cost impact of $0.43 per share. This does include favorable increases in selling prices year-over-year. But these are more than offset by inflation in key areas, such as freight, insurance and compensation. And finally, related to IT strategic investments and other items, there's a net negative impact of $0.09 per share.  In 2021, we are increasing our spending to upgrade key elements of enterprise technology, including network infrastructure improvements, and our global ERP deployment. In addition, we do have a headwind from the non-recurrence of certain unique other income items last year. All of these base EPS movements result in our 2021 outlook for base EPS of $3.50 per share an improvement of 2.5% over 2020 reported base EPS or an increase of 7% after adjusting for our acquisition and divestiture activity last year.  So before I review our 2021 free cash flow guidance, I'll note that beginning this year, we are changing our definition of free cash flow to be operating cash flow less net CapEx spending. Our cash flows for the dividend will no longer be included in our free cash flow definition or results. So for 2021, our outlook is to generate $285 million of free cash flow compared to 522 million in 2020. The key assumptions underlying our 2021 outlook are no change to year end 2020 working capital balances and CapEx spending increasing to $300 million. This higher CapEx spending does reflect our invest-in-ourselves strategy, and as Howard noted, includes about $85 million related to Project Horizon. We also have an approximately $45 million year-over-year cash flow headwind related to the $30 million of FICA payments deferred from 2020 and required to be made in each of 2021 and 2022.  So before I finished my comments, I'll add that we are active with our pension termination process that we've discussed previously. We currently expect the process to be completed in mid 2021 with an annuitization of approximately $1 billion of US pension liabilities. We do expect to recognize an approximately $560 million non-days non cash settlement charge mid this year related to the pension termination process.  In addition, we expect to make a voluntary pension contribution of around $150 million when we complete the termination and annuitization process. For now, we've excluded this contribution from our 2021 cash flow guidance due to the inherent uncertainty about the amount and final timing of the contribution.  And so with that, I'll turn it back over to Howard.
Howard Coker : Thanks Julie. Entering 2021, we feel good about how our balanced mix of consumer and industrial businesses are progressing despite the uncertain economic outlook. The positive momentum we experienced at the end of 2020 seems to be continuing into the first quarter. Our consumer packaging segment, which is primarily focused on food packaging should continue to benefit from consumers at-home eating habits. Demand in our industrial paper packaging markets continues to show sequential improvement although we still face a negative price cost relationship did escalating year-over-year, recovered paper freight and other operating costs.  I mentioned we are aggressively working to recover this inflation, including recently announcing a second $50 a ton price increase for URB in the US and Canada effective March 1. We believe we can achieve this price increase as we continue to experience significantly longer backlogs in our mill system and inventories remain tight. In all other we expect solid demand in our pharmaceutical and industrial markets. We're still in the early days of providing qualified cold chain shipping solutions for FDA approved COVID vaccines and therapeutics to the broader public. We expect demand to expand as last mile distribution systems become more organized.  Finally turning to Slide 19, I want to make just a few comments about our balanced capital deployment strategy. As Julie mentioned, capital expenditures will increase to $300 million in 2021 driven primarily by Project Horizon and hold over capital projects that were delayed by the pandemic in 2020. Returning cash to our shareholders remains a top priority. And we were pleased that the board authorized a 5% increase to our dividend representing the 96th consecutive year we provided the cash payout to our shareholders. I'll also mention this is the 38th consecutive year that we have increased dividends, and our payout shows roughly 3%.  M&A has historically been an important element of our strategy and we continue to selectively acquire and divest to help optimize our core consumer and industrial portfolio. Our strong balance sheet and robust cash flow provides us a solid platform to evaluate and pursue most internal and external opportunities. However, we remain committed to maintaining our investment grade rating.  Finally, share repurchases are always an option, but only if we're unable to find the right internal or external investment opportunity. We're proud of how our people have grown comfortable operating in uncomfortable times. We remain confident that Sonoco is well positioned for when the grip of the pandemic weakens. We'll continue to invest to reinforce the long-term potential of our core businesses while remaining committed to returning value to our shareholders.  Now that operator, would you please review the Q&A procedure?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Gabe Hajde with Wells Fargo Securities. Your line is now open.
Gabe Hajde: Good morning, I hope you and your families are well. I appreciate it's difficult to comment in a format such as this. But I guess with a few reports out indicating Sonoco as a potential bidder for certain assets in Europe, I was hoping you can maybe help us think through the strategic merit of such a transaction, including kind of your footprint in the region, as well as your experience in getting food to retailers and the supply chain in both the US and Europe? And then lastly, could you kind of finalize your comments with Howard your investment grade rating is obviously important. So to the extent you would consider using equity as a form of payment there. 
Howard Coker : Thanks Gabe. Frankly, yeah, I've actually heard the same rumors, read some of the same reports. And frankly I'm not necessarily surprised that they're out there considering our cannon closures business and the correlations there. But frankly, to your opening, we really aren't going to give any context as it relates to market type speculation. So that's really about far as I can go with that. 
Gabe Hajde : I appreciate that. No problem. On the temperature assurance side, you talked about kind of waiting for the supply chain to get together. And really, that's where you'll – where you will kind of participate to the extent you can comment and have done work there. Can you give us any sense for what that opportunity might look like? And a little bit more I guess, specificity around timing? 
Howard Coker : We've started seeing activity, really into the fourth quarter. I wouldn't call it terribly material in the fourth quarter. We're seeing that ramp up at this point in time. It's really, really difficult for us to really quantify what this could possibly mean. There's – as we noted earlier there – there's a bit of chaos in the market right now, but our feelings are as things stabilize, as we start seeing more, we call it last mile type deliveries we certainly expect to be well engaged with – but frankly Gabe from where we sit right now and as we look into our forecast for the year as it relates to our Thermosafe protected we're not being overly aggressive right now. We really got to see how this thing plays out. But we certainly will be a participant. Rodger you got any color you want to add to that? 
Rodger Fuller: Yeah, Gabe this is Rodger. The only thing I would say is Thermosafe had a fantastic year in 2020, record top line and bottom line performance. As we continue to win new business across the pharma space we will be involved in delivering COVID vaccines. We booked some business, but it's just simply too early to put an estimate on the total. We expect Thermosafe in 2021 growth to be in the high single digit with outcomes that vaccines and into double digits with COVID vaccine. So second quarter meeting, I think we'll be able to give you firmer numbers as some of the incremental other vaccines are in process of being approved come out. But for now, it's just too difficult to give you a specific estimate, but we're very excited about it. It will be an opportunity for us. 
Gabe Hajde : Great, thank you, guys. 
Operator: Thank you. Our next question comes from a line of George Staphos with Bank of America. Your line is now open.
George Staphos: Thanks very much. Hi, everyone. Good morning. Thanks for all the details. I guess the first question I had is going to be a kind of couple parts on just the portfolio. A couple times during the call today, and in the prepared remarks, you referenced that the perimeter of store is still seemingly anyway performing perhaps less well than you would like. If you could give a bit of color on what's going on in the business and relative to say a quarter or two or three ago, how, well you think it fits in the portfolio both in terms of sales mix and your own capabilities? And then relatively, you mentioned in your one blast slides you're pursuing of accretive acquisitions in core consumer and industrial markets. Can you give us some guardrails on what would tend to be a more appealing type of acquisition for Sonoco versus a less appealing one, as we're setting your strategy in what you might do down the road? And I had a quick follow on to that. 
Howard Coker : Sure, George, let me break to talk about the acquisition side. One of the things that we've said consistently for the last year or so is that we're really happy with the foundational businesses that we have in our portfolio. So if you want to think in terms of where we would be interested in and growing and building on an acquisition base, it would be in that basically staying within our – we feel like our core competencies of staying in that lane now. Of course, we've got quite a number of businesses across our portfolio, but on the industrial and the consumer side. And I can simply just say that any acquisitions that we do, and I've said this before, should not be a surprise to anyone that you should say, I get it. That's exactly why they've done – that makes sense for Sonoco to make that type of acquisition.  And I'm going to let Rodger give more color on the perimeter of the store question, but just quickly on where it fits. We're real pleased with our overall thermoforming platform from the recent acquisition in healthcare with TEQ to what we're doing in the quick serve market, our flexible business. And then those two cases where we feel like we've got solid number one position. What you're going to see us talk more about in the future is less about a particular market segment, approach to thermoforming. But really thermoforming in totality, as it relates to all of the business units that I just described, so you'll probably be seeing in mid year, so we're just referencing our food thermoforming business in total. But yes, a lot of changes have taken place last year and then of course as we start off this year. And Rodger's talked about some of those in the past. And if you don't mind, Rodger maybe a little more color on. 
Rodger Fuller: Sure. So real quickly George, as an update, we've completed the consolidation of the three operations in the West Coast and the one mega plant in California. So that's complete. Now on the West Coast, we're out for raising prices on certain products as needed. And frankly, we're putting some volume at risk. And Julie mentioned some of the pros headwinds from a volume standpoint. So combined with that consolidation as the price moves on the West Coast, we will see some volume pressure there. But from a safety standpoint, with the announcement we came out in the fourth quarter, we said we would save about $10 million range on an annual basis from that consolidation and we see that playing out.  As Howard said, you look at the rest of our thermoforming business including our perimeter of store business on the East Coast, it's growing. Eggs are growing. We've got new products in the marketplace and leafy greens with a plastic thermoform. Bottom with a peel refill clothes top from our flexible business. So we're still excited about the perimeter of store business in general and the growth prospects. It was more of a specific issue on the West Coast that we had to deal with. So as Howard said, going forward you'll hear us talk about our thermoforming food platform, which is very strong, very successful. And we'll be leveraging those strengths across our perimeter of store business as well. So did that answer your question? 
George Staphos : Yeah, that's very helpful Rodger. Thanks for the color. And quickly and I'll turn it over because I know it's getting late. On Slide 16, you give us a very helpful bridge on your earnings guidance for the year. And there's a big bracket number on price cost, which we understand. What assumption do you have in that figure for your latest pricing? Is that embedded in that number? Or could you shrink the negative price cost if in fact, you're successful with this latest round of pricing? And overall, what else could you do to take that figure lower given it's diminishing of all the other good stuff you've got going on between volume and productivity? Thank you and good luck in the quarter. 
Rodger Fuller: George its Rodger, the assumptions in there are the successful invitation of the first price increase that we implemented the first 50 and achieving core increase. So hopefully, as we continue to implement the second, we can see some of that price costs come down. We're also working hard on freight, the hardest part of inflation on Freight hitting the fourth quarter, so we took some very aggressive actions in the fourth quarter and the first part of this quarter. And recovering that Freight and working on our freight contracts. And finally resins, as you know, resin is going to be a headwind force in the first quarter. We're expecting resin in the first quarter of the 15%, 16% range for the year – in the 10% range. We're also aggressively out moving prices on a resin based products as well. So I think that kind of gives you the big three as far as inflation and our price cost recovery for '21. 
George Staphos : Thank you very much. Good luck in the quarter, guys.
Operator: Thank you. Our next question comes from a line of Adam Josephson with KeyBanc. Your line is now open.
Adam Josephson: Thanks. Good morning, everyone. I hope you and your families are well. Howard, one more on the portfolio for you, obviously, you sold the European contract packaging business. You took the impairment in the thermoforming business. How do you think about how the portfolio is structured now? Do you think you need to further simplify it? So investors will sometimes say that there's just there are many businesses to follow. And it's somewhat complicated and it makes their lives more difficult. And some of them have said a more simple portfolio, easier to understand, more of a pure play would just be – would go down easier for some of them. How do you think about the issue of how much you like all the businesses you have against the potential benefits of having a simpler company to explain to investors? 
Howard Coker : Thanks Adam. Just directly, you can expect that there'll be some further movement in the relative near to midterm. But in total, if we look at the portfolio, particularly as we've re-segmented and go about line item by line item, we have got some really solid businesses with some solid leadership. And so frankly, while will always be challenging the structure of our portfolio, particularly as we move forward from an acquisitive standpoint. It'll always be under forward-looking. Properties are looking at our portfolio. I'll not answer your question very well and say that we're happy with the business we've got. There's going to be some movement, I would expect in the relative near term, both from divestiture and acquisitive standpoint. And as we set these new structures and new segments in place, I think you'll see more logic to it as we go forward. 
Adam Josephson : Terrific, no, thanks for that. And just one on guidance, the 2% volume mix, the company often starts the year guiding to about 2% and sometimes falls short of that target for various reasons. I know that's been the case the last couple years. How much confidence do you have in that 2% volume mix target? And just on the inflation you're expecting, how would you compare that to the last big bout of inflation you saw in 2018? Is it worse? Is it less bad, just any thoughts there? 
Howard Coker : We feel good about the guidance. If you were to go through the portfolio, consumer side of the business were holding relatively flat and when you look at that to say, hey, you have a strong yours related to COVID uncertainly as we start the year, we're seeing it that way. But we also picked up new business in the course of the year. So there's room for some COVID related degradation on the consumer side. Skipping down into the industrial, we've talked about the sequential improvements we've seen. And frankly, we're pretty much getting back to a normal type run rate. And as we enter, again, the first quarter to go around globally, we're seeing fairly strong demand, very strong demand, not only here, but around the world. And we've talked about the protective side, continued strength on the white goods, space. Could that be tapering off somewhat towards the mid part of the year? Probably, so, but as Rodger pointed out on the Thermosafe business, it continues to perform and perform extremely well independent of any type of COVID type situation. So actually should be some upside there. So when you look at that 2% feel pretty good about where we're positioned to this point. 
Adam Josephson : Thanks and just on the inflation piece, any comparison to the last data big inflation? How long lasting do you realistically think this is going to? I know it depends on the global economy, but any strong views of the inflation situation you're facing, how temporary or longer lasting, you think it's likely to be?
Howard Coker : Hard to make that call, I think the critical part about that is recovery side of it and again, as Rodger pointed out, extremely aggressive. And specifically Rodger was referencing on the industrial side, but on the consumer side, equally the same. So when will it start to subside? That's almost anyone's guess. But our plan and our executing is to just recover that and recover it in full on a very rapid basis, really can't comment on when we would expect to see that time in the other direction.
Adam Josephson : Thanks so much, Howard.
Operator: Thank you. Our next question comes from the line of Salvator Tiano with Seaport Global. Your line is now open.
Salvator Tiano: Yeah, hi, thanks for taking my questions. Firstly, a little bit on uncoated, recycled board. You're out, as you said, with a $50 increase. I think you mentioned before in response to the question that what you're assuming is $50 right now and if I remember correctly, RISI has reflected 30. Can you first of all clarify that difference and what you're seeing with your customers versus what RISI is reflecting? And secondly, with the second price increase, if it does go through in March, what could be the potential impact on earnings, both in 2021 and on an annualized basis?
Rodger Fuller: Yes, this is Rodger. I'll start with the first question. Yeah, we announced 50 as you said, RISI – the RISI index has recognized 30. We really can't comment or explain RISIs movements. But we have achieved the full 50 in our customer base, as well as our 6% to 7% core, that was the first one. And so far really good performance on the next $50 increase effective March 1. And then RESI will do what RESI does, but we're very confident in pushing those through. We're doing the same in Europe. We're really doing the same in every region of the world. So at this point, we're confident that we'll see the majority of the second increase go through to our customer base and then we'll follow the index as it changes. 
Salvator Tiano : And with regard I guess to the potential earnings impact if the March price increase goes through? 
Rodger Fuller: I would say accretive. 
Salvator Tiano : Yeah. Okay, perfect. And let me ask one more question about, I guess, your organic investments clearly versus step up here with Project Horizon. But how do you see CapEx from 2022 and beyond as the main project is done? And essentially what opportunities do you see to increase CapEx on a more sustainable basis? Do you see a lot of projects I think you mentioned a robust pipeline, but can you give some examples? 
Rodger Fuller: Yeah, there's a lot of examples. So let me go back to your first question. We're going to – we've increased with Horizon we're going to play this out this year. We'll let you guys know what it looks like going forward '22 and beyond. But what I will say is we talked about early in the year, we were going through a strategic planning process with all our business units to say, what if you had more, what did you do? And they have come out with – to your question, can I give an example? Yeah, I mean, but it spread across a number of the business units. And we've been, – we've walked away very impressed by how much pent up demand there is to deploy more capital dollars into our existing business units to mine, but organic growth as well as productivity going forward. I went through a lot of service, there's not a Project Horizon type project. It is really across the board and across the portfolio, so no real big major that has come to light at this point in time. 
Salvator Tiano : Okay, thank you very much.
Operator: Thank you. Our next question comes from the line of Ghansham Panjabi with Baird. Your line is now open.
Ghansham Panjabi: Hey, guys, good morning. I guess going back to consumer and the 6% volume growth for the quarter for 4Q, let's say 2% from extra days and stuff like that. But it really was well above the trend line from the previous three quarters, relative to your peer group. And what the packaged food environment was doing just more broadly. So I guess first of what changed there in terms of the volumes? Was there some sort of delay that impacted 3Q that flowed into 4Q? Or was it just an acceleration at the end market level? 
Howard Coker : Yeah, I think Ghansham it fits to your last point acceleration. So normally, if we play in the fourth quarter we see a pretty busy – while they are – our busiest month of the year is October trailing into November. And we expect to see that to taper down into December that didn't happen. And frankly, somewhat across the board be it our Can business, flexibles and our thermoforming business as well. So and frankly, as we enter the first quarter of this year still remains very robust. The whys behind all that can only just say – we all know in terms of pantry stocking consumption at home. Likely could it be as well, but well the seasonality kind of touches on that that we normally would slow down brakes on mid December that just didn't happen. 
Ghansham Panjabi : Got it, and then just looking back over time. I mean, it's rare for Sonoco to have two consecutive years of negative price cost of significance, which is basically what you're guiding to for 2021 based on the EPS bridges. What makes this – going back to an earlier question, like what makes this particular inflation cycle different – is just the rate of change for freight and maybe insurance and maybe if you could quantify the impact from higher insurance costs as well. 
Howard Coker : Yeah. Yes, Ghansham, we're seeing that across almost every category, every spend category. And it's unfortunate from year-over-year, we're seeing the same types of – but it seems to be more broadly paying painted, going into this year than we have in previous year where we may have had a commodity or a series of commodities, as Rodger had mentioned earlier. And you mentioned insurance across the board. So to your point, though, directly on insurance, that is meaningful and it's –
Julie Albrecht: Yeah, it's up $6 million of year-over-year increase is what we're expecting. And really, a lot of that is in our property insurance, which is really very market driven, but roughly $6 million is what we've got in our outlook.
Ghansham Panjabi : Okay. Perfect, thanks so much.
Operator: Thank you. Our next question comes from the line of Mark Wilde with Bank of Montreal. Your line is now open.
Mark Wilde : Julie, I wanted to just come back to an earlier question that Gabe asked and that is just about leverage, particularly how you think about sort of the upper limit of leverage for you from potential acquisitions. We heard you very clearly on wanting to remain investment grade, but what does that actually mean in terms of net debt to EBITDA or however you want to measure it?
Julie Albrecht : Yeah, absolutely. So yeah, absolutely, the Board, management is extremely committed to the investment grade rating as Howard already mentioned. Our GAAP debt to EBITDA as we wrap up the year and look into 2021 is around two times. We do look closely and model really very regularly normal course of business, our rating agency metrics, right, to keep an eye on our planning in the normal course, as well as obviously, yeah, opportunities and how we might address them from a balance sheet perspective. So we're pretty comfortable with our internal modeling around the type of business, the size, let's say that we could acquire, and remain investment grade, although we obviously would always keep in touch very closely, we do keep in touch closely with the rating agencies. But yeah, we – again, when we look at, let's say, just to pick one Moody's adjusted leverage ratio, and that kind of like three times, is something that we over a long term, I'd say target, but we monitor very closely with our actual results. And again, as we model out future profits, cash flows, scenarios that type of thing. So I don't know Mark, does that answer your question?
Mark Wilde : Yeah. So if we just thought about it, like, simplistically, in terms of net debt to EBITDA, what would that mean, going to do, like what would the upper bound be?
Julie Albrecht : On a GAAP basis? 
Mark Wilde : Yeah. 
Julie Albrecht : Maybe like two and a half times or something. From a – yeah, but of course, really, what we monitor really side by side is really our leverage on a rating agencies adjusted basis, right. That's, obviously pretty important. But they tend to move – the GAAP and the adjusted ratios tend to move in tandem with each other, but we closely monitor both sets of metrics.
Mark Wilde : How much room would you have right now?
Julie Albrecht : Yeah, well we, I mean clearly have a very strong balance sheet, right and to have ample liquidity for the business. However, we choose to grow it. 
Howard Coker : Yeah, Mark, I mean that's exactly, we do have a very strong balance sheet, that's going to give us some opportunities that we've already talked back to Salvator's question in terms of where we're going in terms of investing in ourselves, spending more in terms of capital? And certainly, yes, we're going to continue looking at acquisitions that fit within our core that are complimentary. But we are firmly committed to staying in as Julie is pointing out, investment grade rating category. So we have a nice balance sheet, other uses of cash, we talked about in the opening comments, if there be share buybacks, if we don't have better use for cash. But we think at this point in time, we've got some pretty good opportunities, both internal and external, but focused on our strength of our balance sheet. 
Mark Wilde : Okay, and Howard fulfillment, I just – I don't want to like flog a dead horse here. But I'm just curious you've – you seem to be exiting kind of the display and fulfillment business that was actually a pretty big acquisition for you and then a pretty big target for incremental capital. You've taken some write downs in that West Coast thermoforming business. When you look at what happened in those cases, what are the lessons that you take going forward in terms of future M&A? 
Howard Coker : That's a big question. Your point about display and packaging that's been around for a long time, it was built around a strategy that we were running during that period of time. I think, most of you totally – we realize that that it played its course in terms of being a strategic asset for Sonoco. As noted, it has performed well, it just has not been, a division that we felt strategically that was important to us. We can talk about pros. Rodger went through some of the changes, et cetera that we've put in place to improve that business. But I think more to your point on select acquisitions that we've – that I think what you're trying to say that maybe we've learned some lessons in terms of what may or may not have gone to our initial strategy.  We've got plenty of them that have and I guess, the point I'd like to leave you guys with kind of takes us back to about a year ago, where we said as a -- as the company, as the leadership team and so we've got some things in our portfolio that we need to clear up. Display and packaging was really no secret. We've acted on that and dealt with that, we have been very open for -- really for the last couple of years that we've had issues on the West Coast portion of our Thermoforming business and we've dealt with that as well. So I'm hoping you'll -- your take away from this is that we're actually doing what we said we're going to do. We're going to address issues that we've got in our portfolio and we're going to move this company forward. 
Mark Wilde : Okay, I'll turn it over. Good luck this year.
Julie Albrecht : Thanks Mark. 
Operator: Thank you. Our next question comes from a line of Josh Spector with UBS. Your line is now open.
Josh Spector: Yeah. Hey, thanks. Thanks for squeezing me in here. Just a question on the tubes and core business and the performance over the last couple of quarters, with North America still down and rest of world up, I was just wondering if you can provide some context about what drives that. Is it product mix, regional dynamics, and what's kind of your outlook for those two different parts of the business over the next couple of quarters? Thanks.
Rodger Fuller: Yeah, this is Rodger. It's primarily product mix even though it's defined over the years, graphic papers, newsprint, printing and writing papers, it's probably still 25%, 26%, 27% of our Tube and Core business represents that much of our Tube and Core business in the U.S. as less than that outside of the U.S. In fact, we've seen very strong recovery in textiles from the bottom of the markets, down to 40% of previous year in the second quarter back to 90% in the fourth, back to 100% as we compare, as we start off the new year, the same in film. So that's really the dynamic you're seeing as well as we've got some really good wins in Europe and Russia and Turkey, some of the emerging markets around textiles. So that's the dynamic you see and we expect and are projecting our Tube and Core business in the first quarter to turn positive and kind of follow the trend of the rest of the regions of the world. 
Josh Spector : Thanks. That's helpful. And just quickly on your OCC outlook. You're forecasting a modest increase from today's price and that holding through the year. What gives you kind of conviction in that taking place or maybe how much conviction do you have in that view?
Howard Coker : We're pointing at each other, right. Our forecast that I know is a ton, we feel pretty comfortable at that range, can it move up -- plus or minus in that $10 range. We don't see any real -- really situation where if we could see it increase on a rapid debt base or frankly a decrease. So at this point in time, we feel pretty comfortable with the range we're in, understanding that there will be some volatility in that. 
Josh Spector : Okay, thank you.
Operator: Thank you. Our next question comes from a line of cow wide with Deutsche Bank. Your line is now open.
Kyle White: Hey, good morning , thanks for the question. I just wanted to follow up on Salvator's question regarding URB in pricing. Just curious if you could give us how much of your business there and the contracts there are tied to the actual REC index relative to maybe some of the cost base mechanisms that you have? 
Rodger Fuller: Yeah, if you look at our Tube and Core business, about 60% is tied to the REC index, 25% through what we call open market, and about 15% OCC. Paper really is more tied to OCC, about 50%. We are gradually increasing our external paper sales to REC, but it's about 25% and the balance are open market. So a little bit of mix between URB and paper, but that's where we are today.
Kyle White : Got it, and then I'm just curious, there was a larger kind of change of hands on the consumer space regarding nuts. I was just wondering if there's anything there in terms of change of control provisions regarding that customer or business or anything with the existing contract that could potentially be at risk as a result. 
Howard Coker : You're talking about the planners' business I assume.
Kyle White : Yeah, planners. 
Howard Coker : While we see decline, we supplied paperboard can, some planners' nuts for many, many years dedicated facility for that volume. So we see no issue with that going to Hormel. Look forward to building a bigger long-lasting relationship with Hormel, so we view that as an opportunity.
Kyle White : Sounds good, I'll turn it over.
Operator: Thank you. Thank you. We do have a follow up question from the line of Salvator Tiano with Seaport Global. Your line is now open.
Salvator Tiano: Hey, guys, and thanks for taking the follow up so late actually. Very quickly I guess some of the volumes in industrial paper, I think either down 8% to 10% over the past three years, and you're seeing a recovery of only 3%. What's kind of preventing you from growing a little bit more and has there been any meaningful cap from reducing your yearly capacity with some closures in the past year or so in your volumes? 
Howard Coker : Yeah. If you recall, we've taken two machines out of the URB, our URB system in North America and our commitment has been as we invest in our low-cost machines and add capacity that will we at the same time take out a high-cost capacity, that's what we've done over the past year. So think it was 120,000 tons or so I think we've removed as we continue to invest in our lowest cost machines and that's our commitment going forward.
Operator: Thank you. Thank you. There are no further questions. I would now like to turn the call back to Rodger Schrum for closing remarks.
Rodger Schrum: We thank everyone's patience for giving us your time today. And again, if you have any further questions, please don't hesitate to give us a call. Thank you again for your participation.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.